Mallika Aryal: Good morning, everyone. Welcome to Kongsberg Automotive's Q4 2024 Earnings Call. Thank you for joining us today. My name is Mallika Aryal. I am the Communications Advisor, and I'm standing in for Therese today. I will also be the moderator for today's session. Before we begin, I would like to remind you that questions can be raised via the webcast tool. Please note that we will prioritize questions sent to us in English. [Operator Instructions] Joining us today as the presenter is the Interim President and CEO and CFO of Kongsberg Automotive, Christian Johansson. On the right-hand side of the slide, you will see the topics that he will present today. And without delay, I will give the word over to Christian Johansson.
Christian Johansson: Good morning, everyone, and welcome also from my side to this quarter 4 earnings call. I'm very pleased to conclude that KA's financial performance improved in 2024 despite weak market demand. Revenues declined by EUR 96 million to EUR 788 million. All our 3 end customer markets, commercial vehicle, passenger car and industrial and off-road weakened during the year. EBIT improved to EUR 18.7 million with an EBIT margin of 2.4% from negative EUR 19.7 million and negative 2.2% margin in 2023. Successfully implemented cost reduction measures more than fully offset the loss contribution from the declining volumes. During the year, our fixed cost base was lowered by more than EUR 30 million. And with a lower cost base, we have laid the foundation for profitable growth when volumes will be back. The result in 2023 was burdened by significant negative adjustments, impairment of assets and onerous contracts in the noncore business in total of EUR 29 million and in addition, restructuring provisions, severance payments and other adjustments. In 2024, adjusting items were only negative EUR 0.4 million. And the absence of adjusting items in '24 is the other main explanation for the improvement. Warranty expenses were higher in 2024 than in 2023, also affecting the year-over-year bridge. Return on capital employed improved from negative 5.9% in 2023 to positive 5.8% in '24 as an effect of the improved operating results as well as a reduction in average capital employed for the year. Free cash flow was positive in the fourth quarter by EUR 4.2 million, which gave a full year free cash flow of negative EUR 20.3 million. This is an improvement of some EUR 15 million versus 2023. And we are also pleased to see that the different parts of the net working capital now is more normalized. Finally, the business wins came in at EUR 1.526 billion, which is exceptional for KA. We are very pleased to note the confidence our top-tier customers have in us as a business partner for the future. It also proves that KA's product offerings are well aligned with the customers' evolving needs and that we can win business also in a declining market. The overall market demand was weak, particularly in the second half of the year, as you can see in the slide. Demand weakened in all regions, except in South America. Being a supplier in the automotive and off-road market, it is in the short term very difficult to impact the top line. When fewer vehicles are produced, our volumes to Tier 1 suppliers and OEMs are reduced in the same magnitude with some smaller variations depending on the inventory situation in the value chain for different customers. Ramp-up of new business can mitigate the decline in overall market demand. And later on in the presentation, you will see that we have a different outcome in FCS, where we had more new business starting up in 2024 than what we had in the DCS. You also know that we are winding down our noncore business, where revenues declined by EUR 32 million in '24 versus '23. And we should also remember that 2023 was a strong year for KA. We had a ramp-up of a new customer program during the year in business area DCS and we had positive effects from stock fill up by our customers after COVID supply chain disturbances. So we are comparing with a reference year with good growth in the core business. The indications of a weaker market started to appear in the later part of the second quarter, and we have shared this with you in previous earnings calls. And I'm very pleased with the speed we, during the summer period and early autumn, took decisions to adjust our cost base and to reduce inventories with no delay. Performance excellence in everything is a prerequisite to be relevant in the vehicle industry. Health and safety is the first priority and will always be. Employees who do not feel safe at work will not be able to perform excellent. We have different KPIs to track health and safety and one is plants with 0 accidents for more than 1 year, and we are at around 80%, which is the same level as we reached in 2023, which is the best year ever in KA. We have also been able to reduce number of first aid cases by 35% in '24 versus '23. Operational cost improvements are fundamental to offset negative effects and to improve profitability. And we have reduced our workforce with 570 full-time employees or 11% during 2024. In autumn 2023, as you are well aware, a cost reduction program was initiated, targeting manufacturing overhead, engineering, sales and general administration. Another program was added during the autumn '24 with further reductions in these overhead functions. And by latest in quarter 3 this year, we will have reduced more than 300 full-time positions or 13% in these functions, fully in line with what earlier has been communicated. In addition, we are transferring work to best cost countries from high and medium-cost countries in order to benefit from salary arbitrage. And this has been done for more than 40 full-time employees. A number of offices have been closed and we have moved to a smaller office in Zurich. We have finalized the manufacturing footprint assessment and our priorities are set. We have reduced consulting spending, travel costs. And we will continue to reduce indirect purchasing spend. It's about buying less, buying cheaper and buying later. Direct material cost savings and operational excellence are areas which need to deliver savings in the range of EUR 20 million yearly in order to offset inflation and productivity commitments in our customer contracts. In manufacturing, more than 300 improvement initiatives were implemented across all plants during 2024. In order to do this, we work with systematic tools and methods like Lean Six Sigma and Value Engineering. And during the year, more than 200 employees have been trained in these tools in our internal operational excellence academy. Supply chain improvements are also key. Our operations should be lean also when it comes to capital tied up. And we succeeded to reduce inventory by year-end '24 with 9 days versus the previous year-end. KA is becoming leaner and more competitive and we will continue on this path in 2025, too. Sustainability is one of KA's strategic pillars and I want to share some highlights for the year. In October, KA joined the UN Global Compact, which is the world's largest corporate sustainability initiative. KA improved its EcoVadis score. We jumped from 53 to 60 in 2024. With this score, we are among the top 14% of the companies assessed in the automotive industry. KA has also progressed on our ESG agenda with defined targets and actions. On the right-hand side, you see some progress when it comes to CO2 reduction. We have increased the share of renewable energy in our total energy consumption and we have reduced CO2 emissions related to our own production, and we have now 10 plants using 100% renewable electricity. We had another strong quarter for business win in quarter 4 with EUR 295 million of lifetime awards booked in our 2 business areas. In the quarter, we booked EUR 180 million in business area FCS and EUR 110 million in DCS. We had some significant awards in the quarter within the passenger car segment. These wins were in the FCS area, more specifically the FTS business unit, and the major wins are highlighted in the following slide. As we have stated previously, we will take the opportunity in the passenger car segment if they are for core products and meet our profitability objectives. Otherwise, as you know, our main efforts are to win business in commercial vehicles and in industrial and off-road segment. We had a healthy mix of incremental and recurring business in the quarter. In this line, we have 3 flow control business area wins. The first is for a U.K.-based electric vehicle start-up. We supply the coolant lines for the vehicle, and this meets our goal to supply coolant assemblies to the EV sector. This is a new customer for KA. Second, our suspension line win is for a U.S.-based manufacturer of electrical vehicles. This is a core product for KA and it's an incremental award with this market leader. And the third is a contract renewal to a major U.S.-based Tier 1 supplier to the global passenger car market. And we are very pleased to renew our partnership. It solidifies our position as a major supplier of high-temperature fuel lines and PTFE brake lines for the U.S. market. In business area DCS, we have secured an important contract extension with the off-highway segment. The contract is an extension of our long-term relationship with this customer and confirms KA's dominant position for pedals in the utility leisure market. We have worked with this market leader for over 2 decades, and this highlights the continued trust our customer place in KA's products and services. As mentioned initially, we had business wins in the full year of EUR 1.526 billion in lifetime revenues. We had one large contract extension in April '24, which value correspond to about 1/3 of the full year '24 business win value. We should recognize that these kinds of awards do not come every year. And book-to-bill ratio of 1.9 for the year is exceptional and the mix between incremental and extensions is also healthy for the full year as we see it. In the breakfast meeting in December, we shared this slide with some examples of products that hit the road during the year, and I'm very proud to share this again. The first is the significant contract extension that I previously mentioned with a major Tier 1 supplier of transmissions to the U.S. and Chinese markets. This 5-year extension shows the value and strategic importance of our gear control unit product. The second is an incremental business for KA. The customer is a Chinese electric car OEM. The product is an ARC rotary actuator. And KA was able to deliver the product in less than 18 months, which is in line with the similar releases in China. It is worth noting that the development times in Chinese vehicle manufacturers today is shorter than previous established practices, and to qualify as a supplier to this, you need to meet these requirements. And the last product on this slide, KA supplies various fluid transfer assemblies to an off-road OEM for 4x4 vehicles, and one of the uniqueness of this product is the ability to withstand extreme temperatures. The commercial vehicle market is changing, perhaps not at the pace that we expected 2 years ago. But it's clear that the transition to sustainable solutions will continue, and with this comes growth opportunities for KA. We need to be prepared for whatever powertrain solution is decided upon, may it be full electric, hydrogen or hybrid, and for time being, still ICE, internal combustion engines. The market leaders have already or are in process to move towards modular systems since the cost of the transition is very high. So groups like TRATON, brands like Scania, MAN, International and Volkswagen, they have made it clear that the base vehicle will be the same regardless of the brand. It's the same within the Volvo Group, where we have Volvo, Renault and Mack Trucks. And this provides great growth opportunities as the volumes will increase. And we have product systems that are modular and lend themselves to multi-platform deliveries. One prime example of this is the Raufoss ABC air brake coupling system. And due to the geopolitical factors and the lessons learned after the pandemic, the OEMs want to ensure a robust supply chain on a regional basis. And the ability to supply locally within the region of the OEM's facility is becoming more and more important. Sustainability, CO2 footprint is another driver for more local supply chain. And KA have manufacturing potential across 3 continents for the majority of our products and we have won businesses with the market leaders, partially due to our geographic footprint. So to conclude, we feel confident that we are well positioned to benefit from the trends in the CV sector. Our recent wins highlight that we are on the right path. And we are working on a number of opportunities now and other such opportunities are expected in the years to come. In February, the President of the United States signed executive orders to implement new as well as increased tariffs on Mexican, Canadian and Chinese goods as well as new tariffs on steel and aluminum imports to U.S. This slide illustrates KA's inbound material and component supply in North America. The arrows show the direction of the supply. The width of the arrow, indicate the size of the supply, and the color indicate tariffs that now are valid and others under discussion. This is not a challenge KA is facing alone. It's a global vehicle and automotive industry challenge. And KA will seek full compensation for increased customs tariffs from its customers to recover any additional costs imposed by these tariffs, similar to what others in the industry will do. The newly announced customs tariff increases in North America and potential escalating countermeasures will potentially lead to increased inflation, higher vehicle prices and by that, impact market demand negatively. We are in close dialogues with our customers and we are closely following the tariff development. I will end the executive summary by restating our key priorities for 2025. We will continue strong focus on cost efficiency and performance excellence and cash. We have won significant businesses in the last 2 years and it's key for us to deliver these business wins at targeted profitability at the time of the customers' start the production. The geopolitical uncertainty further increases the importance for us of flexibility and to take decisive actions with no delay. And finally, it's key to continue to win business. The commercial vehicle and passenger car markets were weak in '24, as already commented. Commercial vehicle declined by 8.3% globally in the quarter, while passenger car market relatively unchanged, plus 0.4%. Full year corresponding values were 4.1% decline in the commercial vehicle and 1.1% decline in the passenger car market. Regionally, we see the largest declines in Europe by 25% respectively, 21% for the quarter and full year, while North America started off the year quite well, but has declined with double-digits in quarter 3 and quarter 4. The external market forecast has been revised downwards during the year. Full year '24 for commercial vehicles was by LMC, the forecasting institute we use. In March, forecasted to globally grow by 1.6%, LMC now conclude the market declined by 4.1%. High interest rates and general economic uncertainty has held back investment decisions on car purchases and renewals of truck fleets. Fleets are, however, getting older and at some point in time, the vehicles for economical reasons will have to be replaced. When comparing KA's performance in the quarter with the market development that we just saw for the quarter, KA has performed better than the market, both in North America and in Europe, regions which combined stand for 83% of KA sales in the quarter. In North America, the better performance relates to previously noted wins in the FTS hose assembly area and further ramp-up of volumes for our ABC coupling to a major commercial vehicle brand. We have very strong performance in Europe. We note that one of our major EU customers in the CV segment tranships KA products direct to South America, which, as we can see, has a strong growth in 2024 and continued in Q4. This does not take away the fact that KA did well in Europe in quarter 4, and we see a better-than-market performance in our industrial segment and further market share gain with our FTS hose assembly business. The sales decline in China was related to lower sales to a large Tier 1 customer due to OEM customer demand reduction. When it comes to passenger car segment, we had good performance in North America with higher sales of KA's gear shift systems, while the decline in Europe was an effect of the driveline wind down as volumes continued to reduce in line with customer contracts, end of production and in line with our expectations. The forecast for 2025 now indicate 1% growth in commercial vehicles and a decline of 0.5% in passenger cars, so relatively unchanged versus 2024 in both segments. Looking further ahead, LMC and IHS are still forecasting a strong underlying growth in the years 2026 to 2028, plus 18% in commercial vehicles and 6% for passenger cars. The forecast for next year, so 2026, is almost 300,000 additional commercial vehicles globally or close to 9% growth, whereas 70,000 of that is in North America. We have in previous earnings calls talked about the initial steps to come in North America in 2027, where the market forecasts a pre-buy effect with higher volumes in '26 and potentially already in end of '25, depending on how the business environment in North America develops. The underlying growth in the commercial vehicle market is still there. It has not disappeared and it will not since trucks are on the road and are accumulating transport kilometers. It's just pushed forward in time. Quarter 4 revenues were down 12.1% versus last year adjusted for currency effects. EBIT was EUR 1.1 million and the EBIT margin of 0.6% in the quarter. Lower volumes, unfavorable mix, while we continue to see positive effects from reductions of our fixed costs. The cost-out activities were not able to fully offset the lower contribution in the quarter primarily due to negative inventory variances. We had higher warranty expenses versus last year all related to a DCS product. It's the same product as we have talked about back in the quarter 3 earnings call. Volume growth would definitely be positive for our profitability. And meanwhile, we continue to work on further cost reductions, efficiency improvements and product line profitability. We have, among other initiatives, launched several cross-functional activities with clearly defined actions to improve profitability on some of our existing offerings. Free cash flow was positive by EUR 4.2 million in the quarter, coming primarily from a strong collective focus to lower inventory and improved receivable collection. Full year free cash flow although still negative. Revenues in quarter 4 in FCS decreased by EUR 1.8 million compared to quarter 4 '23. Adjusted for currency, this corresponds to negative 2.5%. This was mainly driven by declining sales in Europe, mainly in commercial vehicles and slightly in passenger cars, and lower sales of industrial applications in North America, partially offset by positive performance in North America commercial vehicles and passenger car markets as well as increased sales for industrial applications in Europe. In the business area FCS, we have been able to compensate the volume decline in the market by new incremental business wins. EBIT was EUR 2.1 million in the quarter, a decrease by EUR 7.2 million compared to the same quarter last year. In addition to the declining volumes on profitable products and unfavorable product mix, FCS was impacted in the quarter by negative inventory revaluation effects versus positive effects in the fourth quarter 2023. We are not satisfied with the margin development in business area FCS and we are working hard to improve profitability, both in business unit Couplings and in business unit Flow Transfer Systems. Revenues in Drive Control Systems decreased by EUR 18.7 million to EUR 82.3 million in the fourth quarter, which corresponds to 18.4% decline adjusted for currency. Coming off exceptionally high revenues in the commercial vehicle segment in 2023 related, among others, to the ramp-up of a new customer program, as mentioned before, revenues declined in Europe by EUR 2.5 million, 7.4%, which was still significantly better than the market performance that you saw before, was negative 25.5% in the quarter. Revenues in North America declined by EUR 2.8 million or 10.4%, slightly over-performing the market, which shrank by 15.3%. In off-highway, revenues amounted to EUR 13.7 million, down by EUR 7.3 million or almost 35% in constant currencies, which was mainly due to a significant decline in the North American market. Both construction and agri market was extraordinarily weak in North America in 2024, which impacted all major OEMs, including John Deere, A.K.O. and Volvo Construction Equipment. EBIT amounted to EUR 3.1 million in quarter 4, a decrease of EUR 3.2 million compared to quarter 4 2023. The missing contribution from reduced sales volumes could not fully be offset by the savings in manufacturing overhead, sales and general and administrative expenses. In addition, warranty expenses were higher by EUR 6.5 million in the quarter. Positive adjusting items of EUR 4.4 million, including income of EUR 1.9 million related to subsequent proceeds from the divestment of the power-sport business and also reversal of impairments of EUR 3.2 million. Looking to the EBIT bridge for the group for the quarter and full year in somewhat more detail. You might remember that the quarter 4 and full year 2023 were impacted by impairment of driveline assets, restructuring provisions, et cetera. These items are adjusted for in the EBIT bridge. In the quarter, manufacturing costs and administrative expenses were reduced by EUR 8 million as a result from various cost reduction initiatives. Loss contribution of EUR 10.5 million due to declining revenues, unfavorable mix and negative inventory variances in FCS that was offset to a large extent. However, as already commented, warranty expenses were higher on group level by EUR 4.8 million. And we could benefit from adjusting items in the quarter, like the subsequent proceeds from the divestment of the power-sport business and the reversal of impairment due to alternative use of assets. For the full year, cost reductions in manufacturing overhead and administrative expenses was positive EUR 30.4 million. So it more than fully offset the loss contribution of EUR 26.6 million due to the decline in revenues. Warranty expenses were higher by EUR 8.4 million, all related to the DCS product, as mentioned before. And the positive adjusting items in quarter 4 were offset by severance and restructuring costs in the full year, ending at minus EUR 0.4 million. The net income bridge for quarter 4 and full year, we have a net of EUR 5 million improvement in the financial items in full year '24 versus full year '23. Financial items are splitted in 4 bars. We have a slightly more negative interest net versus last year. Following the refinancing of the old larger bond notes with the new bond notes, we are using the account receivable securitization facility to a larger extent than in the past. We have also less interest income now. We have done an impairment on the net investments in an associate and a nonconsolidated entity amounting to negative EUR 2.4 million. And on other financial items, when we settled the old bond notes in quarter 2 '24, remaining capitalized fees were expensed. We have also higher fees on the ARS, and had in 2023 a positive change in the fair value of the money market fund of EUR 2.8 million that we do not have this year. Currency gains and losses are this year positive. As we have discussed in earlier earnings call, the primary cause for the currency fluctuations in KA is the development of the NOK versus euro. NOK has been more stable versus euro in quarter 4 and has lost less versus the euro in full year than what it did in 2023. Income taxes in full year were negative EUR 15.9 million versus negative EUR 13.4 million last year, so a delta of negative EUR 2.5 million. For full year, current taxes are at comparable level to last year despite high withholding taxes on dividends from subsidiaries. And the overall tax expenses are less negatively impacted by losses not capitalizable, write-down of deferred tax assets than in 2023. And this is a good development. We still have a way to go to reach a normalized tax rate, and the only way to do that is by further improve the profitability in the group's subsidiaries. Free cash flow in the quarter, as previously mentioned, positive by EUR 4.2 million. Cash flow from operations was positive by EUR 13.7 million. I'm particularly pleased with how we ended the year on net working capital. Good improvement brought net working capital to sales down to 17.3% on a rolling 12 months. We have now a more healthy balance on the net working capital between inventory, account receivables and account payables, where we last year had extraordinary high account payables. Cash flow from operations on full year was EUR 32.4 million, which is a clear improvement from EUR 21 million last year. Investing activities, negative EUR 21 million full year, improvement from EUR 29 million last year. Financing activities were negative EUR 30 million if we adjust for the effects from the refinancing versus EUR 26.4 million last year. And in this case, the delta is explained by the interest payments on the new bond notes that are done on quarterly instead of a biyearly basis as we did in the old bond notes. Full year free cash flow was negative by EUR 20.3 million, although an improvement from EUR 36.9 million. We are not pleased with the negative free cash flow and further improvement is an absolute priority for us in 2025. I also want to add, it's not in the slide, the cash balance is at EUR 84.3 million by end of the year '24. We were at EUR 85.8 million by end of June after the completion of the refinancing. So approximately unchanged. And the RCF, which is at EUR 50 million, is undrawn, so not utilized at all. Our net debt to EBITDA is at 2.5. We have a lower EBITDA last 12 months. And the net interest-bearing debt has increased by approximately EUR 21 million. Return on capital employed, we have mentioned that, it improved from negative 5.9% to positive 5.8%. Equity ratio at 33.7%, an improvement from 30.2% last year, mainly an effect from the refinancing when we lowered interest-bearing debt and reduced our cash balance, but also an effect from lowering our net working capital versus last year. Capital employed, same level as end of last year, however, with a lower average value over the year, which is what is used in the return on capital employed calculation. If we go to the summary. Financial performance improved. Successful cost reductions offset weak market demand. Positive quarter 4 free cash flow. Exceptionally high business wins in 2024. And we remain focused on cost reductions, operational efficiency, increasing product portfolio profitability and preserving cash while winning new business. Guidance for 2025. We expect revenues to be relatively unchanged in the first half year versus second half of 2024 with a potential upside in the second half of the year. Based on successful implementation of various cost optimization and efficiency initiatives, we expect a positive development of our EBIT margin for 2025. This excludes further potential effects coming from increased geopolitical uncertainty. And we continue our focus to improve cost efficiency, profitability and to preserve cash. And we are confident that by successfully navigating the ongoing transformation, we will further strengthen KA's position and take further steps towards our 2028 financial targets. Before we get started with the Q&A, I just want to highlight that this year we have done a change in our financial reporting. We have splitted the publication date for quarterly report and the annual report, and there are 2 reasons for this. First is a response to feedback from you, our shareholders, to get the report of the financial performance earlier. And the earnings call today is 2 weeks earlier than last year. Second reason is the new sustainability reporting regulations, so-called CSRD, Corporate Sustainability Reporting Directive, which require a much more extensive sustainability report integrated in the annual report as well as a limited assurance engagement of the group auditors. And the annual report with all notes, et cetera, will be published on March 27. So now on to the Q&A.
Mallika Aryal: Thank you, Christian, for the presentation. We have received many questions, so we will, without delay, start our Q&A session. In this session, we will try to answer as many questions as we can in the time that has been allotted. Starting with the question, how do you see the market forecast for the commercial vehicle production? Do you believe that the market forecasts are realistic?
Christian Johansson: Yes, a forecast is always a forecast. But the market forecast we use have shown reasonably accurate and we believe in them in combination with customer contacts and other information sources that we are using. And there is a pent-up demand with aging truck fleets in the commercial vehicle market. And it is realistic as we see it with a strong market growth until 2028. And we are well positioned to benefit from that. But as you have also heard, for 2025, we expect the market to be at the same level as '24, although the market uncertainty has lately then increased as we have talked about.
Mallika Aryal: Next question, if all of Trump's tariffs will be effectively implemented and become a reality, how will KA handle it?
Christian Johansson: Yes. As we have talked about in the presentation and what we also had in our earlier press release, in the short and medium term, KA will seek full compensation for increased customs tariffs from our customers to recover any additional costs. We've also seen a question whether we would be able to recover margins on tariffs. And that's, of course, not obvious. I mean, we will talk about the cost increases that we have with the customers. But anyway, to be locally present in North America is very important for KA. It is a large and very important market where most of our OEM customers are present. We have a good presence of our footprint today, which is a competitive advantage for us when winning business, as we also talked about in the presentation. But depending then on how the tariff regulations will look like, we might have to adjust our current supply chains to have the best possible cost for our products in the North American market in the medium and long term.
Mallika Aryal: Moving on. This is the second quarter with warranty expenses. What was the warranty related to? And do you expect more in the next quarters?
Christian Johansson: Product quality is a very demanding target in automotive and it's measured in parts per million, as we have talked about before. And this warranty issue is related to a drive control system product and that was produced between 2019 and 2022. And the problem started to be visible only after several years. And I would say the more complete visibility we had only in the later part of 2024. And as the data on product repairs and replacements are coming in, we are taking the cost to rectify the problem, obviously. And we are according to IFRS accounting rules, building provisions for what can be expected in the period to come. So based on today's best estimates, we have included provisions also for 2025.
Mallika Aryal: Moving on. You are guiding for improved EBIT margin in 2025. What makes you believe you can achieve that? What are the assumptions behind the potential upside in H2 revenue?
Christian Johansson: Firstly, we have to accept that the market presently is uncertain and the guidance excludes further potential effects coming from increased geopolitical uncertainty. But we have laid a foundation with the lower cost base and we will continue to work on lowering our costs. We are working hard to improve our product portfolio profitability, both by focusing on the high-margin business and by working on improving the low-margin offerings. And we had higher warranty expenses in 2024, as we have commented in the previous question. And based then on the current available information, we believe we have the worst behind us regarding the warranty for this DCS product. And as also a question, we see a potential upside in revenues in the second half of 2025. And this is then totally combined, what I just commented, base for the guidance on improved EBIT margin. When it comes to the assumption of a stronger second half, this is in line with the external forecast, that is for a flat development for the full year versus 2024 and also what we presently have in the discussions with our customers. So this is our today's best assessment of the second half.
Mallika Aryal: Moving on. KA has previously indicated that more analysts will start covering the company in 2025. What is the status of this? And how is the company working to increase its visibility in the capital markets?
Christian Johansson: Yes. Well, we are in contact with several financial institutions and several analysts. But we have to accept that KA cannot influence or impact who covers KA or when that will happen. But I would also say that there is a large interest in Kongsberg Automotive at the moment and in the ongoing transformation of the company.
Mallika Aryal: Moving on. The status of the Driveline business. Have expectations for this segment, which is Driveline, changed? And is KA considering the possibility of a sale?
Christian Johansson: Yes -- no, the status has not changed. We are not actively developing this business. We will continue to wind down the Driveline business as and when the customer contracts end. And it has previously actively been decided that the wind down under our own management is the financially best option for KA. And this is still valid. So we will see the revenues decline over time. It does apply also to year 2025, too. And this is considered in our overall sales plan and also a part of our guidance.
Mallika Aryal: Next question. Full year free cash flow is negative. How do you intend to improve the free cash flow? Can you please outline your CapEx spend expectations for the next 2 years forward?
Christian Johansson: We improved free cash flow by EUR 15 million in 2024, which means it's possible, and we can do this, this year as well. We need to see a higher underlying EBIT and we need to become leaner on net working capital and we need to continue to be restrictive on CapEx. When it comes to the CapEx in the coming years, the overall guidance we have is EUR 25 million a year. And last year, we came in somewhat lower, net of EUR 21 million. We have also raised our targets for purchasing and sales functions to improve commercial terms with our suppliers and customers. And we will continue to work on achieving a leaner supply chain, as I commented in the presentation.
Mallika Aryal: What is the status of steer brake-by-wire technology? And how does the company view the development and commercialization of this?
Christian Johansson: Yes. KA is approaching the steer-by-wire technology by its investment in Chassis Autonomy, as you know. And CA has a good technology for the future and is currently, as we can see it, ahead of the competition in the defined field, which is about people mover for the Level 4 autonomy. So CA has a good product for KA. However, it will take some time until this technology and the CA products gets market acceptance. But we will continue to actively work together with Chassis Autonomy and with the aim then to equip further customer prototypes with CA technology in 2025.
Mallika Aryal: Great. Next question. Is the company considering selling or outsourcing business that are outside KA's core areas to increase focus on the most profitable section?
Christian Johansson: Yes. Yes, I would say, firstly, by defining Driveline as noncore, we have made a step in concentrating our portfolio. And in the core area, in the -- what we report as a core business, we have performed the product portfolio profitability analysis and we have done a footprint analysis. And we have also earlier communicated that prioritized areas in the core business, among others, are electric actuators, heat management and air management systems. And the outcome of this profitability analysis also shows that improvements are needed in some of our product lines. And we have kicked off a number of activities to improve on profitability on some of the existing offerings. And depending on the outcome of the work we do there, we might have to consider other possibilities, including to stop the development or others. But presently, we are working hard to fix it.
Mallika Aryal: Next question. The company has reported strong results in electric actuators, heat management and air management system. How does KA see the growth in these segments over the next 3 to 5 years?
Christian Johansson: Well, these contracts will support KA to reach its 2028 revenue target. They improve our market share in some of our product lines where we want to grow. Electric actuators and air management systems, we also talked about back in the Capital Market Day as 2 of our product lines where we definitely have growth ambitions. And by winning business, we are also scaling these products in a way that will improve our competitiveness on product costs. Thermal management was also mentioned here. It's another core competence of KA, supporting any kind of vehicles with higher emissions requirements, either electric or fuel cell-driven vehicles. And our ambition is to grow with these products in line with the market.
Mallika Aryal: Now we have come to the end of the questions. So this would be the last one. How does KA adapt its product portfolio to meet the requirements of new emission regulations in the U.S. and Europe?
Christian Johansson: Yes. A significant part of our product portfolio is, as we have talked about also in meetings agnostic or resilient from the type of powertrain, respectively, new emission regulations like for steering columns, pedals, air management and vehicle dynamics. I would say hybrid vehicles reduce emissions, but they still have a combustion engine. But packaging is an issue due to the double drivetrains. So we have optimized our portfolio with more compact and lighter products with the same functionality for these types of applications. For hydrogen electric vehicles, we have developed and are still developing products with focus on the thermal management and electric activations.
Mallika Aryal: Thank you, Christian, and thank you, everyone, for your questions. We are unfortunately out of time, and so we would like to conclude today's meeting. Thank you for your participation.